Operator: Please stand by, we’re about to begin. Good day and welcome to the Energous Corporation First Quarter 2015 Corporate Update Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Matt Hayden, from MZ Group. Please go ahead.
Matthew Hayden: Thank you, Alicia. Good morning. We like to thank everyone for joining us today for Energous Corporation’s first quarter 2015 update call. Your host today will be Mr. Stephen Rizzone, President and CEO, who will introduce the rest of the team that is joining him. The press release detailing the quarterly update crossed the wire this morning and is available at the company’s website energous.com, where you can also find additional information about the company. After management’s prepared comments today, we will open the floor to questions. Before we get underway, I’d like to ask everyone to take note of the Safe Harbor paragraphs in the press release. Any forward-looking statements that are made today, whether in prepared remarks or during the Q&A session, speak to the date thereof and are subject to inherent risks and uncertainties included in all of our public filings with the SEC. Except as otherwise required by federal securities laws, we disclaim any obligation or undertaking to publicly release updates or revisions to forward-looking statements contained therein or elsewhere to reflect changes and expectations with regards to those events, conditions, and circumstances. Okay, with that out of the way, I’d like to turn the call over to Mr. Rizzone. Steve, the floor is yours.
Stephen Rizzone: Thank you, Matt, and good morning. I’d like to also welcome everyone to our first quarter 2015 financial results and company update call. Joining me today are George Holmes, our Senior Vice President of Sales and Marketing, and our Chief Strategist; also joining me are Howard Yeaton, our Interim CFO. We have a number of key updates to provide today and before I get into the details, let me mention some of the highlights. Specifically, in the first quarter, we expanded the relationship with our T1 partner to cover both receivers and transmitters. We believe that this expansion paves the way to creating the ubiquitous wire-free charging ecosystem that Energous has envisioned. We also believe that this expansion de-risks our overall execution plan. It provides initial revenues ahead and above expectations and further shortens our expected time to meaningful market penetration. Further, during the quarter, we achieved a higher level of operating efficiency, resulting in expenses that were well below initial projections and thus solidifying our runway into Q2 2016. George will run through our partnership pipeline, development schedule and Howard will cover the financials. As we discussed on our last call, we signed our first joint development and licensing agreement with a Tier 1 consumer electronics company. As you may recall, this agreement called for joint development of WattUp receivers to be incorporated in our strategic partner’s consumer products including mobile devices and their related accessories. I’m very pleased to announce that after diligently working together for the last three months, our agreement has been expanded to also include the WattUp transmitter technology. After careful consideration by our management team and the board of directors, we agreed to expand the agreement and recently completed an addendum formalizing this intent. It is worth noting that the lack of balance between transmitters and receivers has been a key reason why first generation magnetic-based Mac technology that had limited market success today. Shifting to - or hitting the required miles - subject to hitting our required milestones, we believe the expansion of our first development and licensing agreement will accelerate the commercialization and adoption of the WattUp technology by having both the WattUp transmitter and receiver technology supported as a system by a T1 consumer electronics company with broad consumer reach. The expansion of our agreement also further validates our technology and our partner’s level of commitment. We believe that the proliferation of the WattUp technology into Wi-Fi routers and other devices like TVs, speakers and smaller bedside units, is necessary to proliferate the technology and provide for broader adoption. Those of you who visited us at CES in January had the opportunity to view some of the applications firsthand. As a result, we believe that the better approach will be for us to also engage with other transmitter companies. Some through our own initiatives and other through collaboration with our Tier 1 partner, collectively supporting the goal to make the WattUp technology more widespread and further accelerating the growth of the ecosystem. Therefore unlike the original agreement which provided for a first-to-market advantage for our receiver technology, this amendment does not include any limited exclusivity term for the transmitter technology. In addition, we are collaborating with our partners in seeking regulatory approval. We will provide technical and product development support throughout this process. Obtaining the first regulatory approval for the WattUp technology is critical as all subsequent approval cycles for the same technology are by reference and will likely be easier to obtain. We believe that the company’s collaboration with its partners will result in a more predictable regulatory process and one in which future customers can leverage and capitalize upon. While we spend a lot of time discussing our achievements with our partners, I want to emphasize the significant progress we have made from an engineering and development perspective, as it relates to automating the design and test of new silicon antenna structures, and hardware and system-related software. All of this is aimed at shortening developing timeline, improving predictability and reducing overall cost. More importantly, our performance against the engineering expectations of our original joint development and licensing agreement, coupled with the expansion of the agreement to now include transmitters, is expected to substantially accelerate our time to revenue. We have negotiated customer payments in advance of initial expectations and during the first quarter recorded $200,000 in revenues, and another $300,000 in deferred revenues, two quarters in advance of our original revenue plan. While Howard will cover this in more detail, I want to make a few points about cash management. The executive team has focused a great deal of attention on optimizing operational efficiency. As noted in our last conference call, we cautiously ramped expenses in Q4 of 2014 to support the CES show demonstration and complete the core development phase of our enterprise-class network management systems software that was developed by a third-party. Our collective efforts to optimize operational efficiencies enabled us to reduce our cash burn to $5 million in Q1, as compared to cash used of $8 million during Q4 of 2014. As future engineering service related revenues escalate this year and next year from this T1 partner and other pipeline partners, we see the potential to further reduce our cash spent, extend our operational runway and decrease our dependency on outside financing. While I hope you will sense our enthusiasm, as a prudent CEO I always want to have checks and balances in place. As such, I want to reiterate to our shareholders that while we have made great progress furthering our relationship with this T1 partner and de-risking our business, there is still work to be done in engineering and advanced developments. With each passing quarter, we expect to make further progress, thus minimizing risk. Now, I would like to turn the call over to George, who will provide additional details on our go-to-market strategy, regulatory, and IC efforts. George?
George Holmes: Thank you, Steve. As Steve described, we’ve made a lot of progress working with our first licensing and development partner. And as a result, we have dedicated a great deal of our collective resources year-to-date to ensure we hit our initial milestones. Keeping that in mind, that our first development and licensing partner has a attentive marketing advantage, let’s focus on what that means for the rest of market verticals and our JDA partners. As discussed last quarter, we’ll continue to build and rationalize our JDA pipeline. We have over a 100 companies on our roster that are interested in addition to formal JDA partners. Many of these companies have continued coming to us. So as we have no shortage of great opportunities, including other Tier 1 players, one of our top priorities in 2015 is converting the right JDA partners into formal development licensing partners. We’re targeting companies who have the resources, customer base and focus to achieve meaningful market penetration. We expect to announce additional agreements during the balance of this year and expect further momentum on this front as we move into 2016. As we bring on additional licensing partners, development and commercialization schedules will be determined by their development cycles. We’re excited about a number of key market opportunities, that our partners will target. These include companies focused on both transmitter and receiver technologies for products in the Internet of Things space, toys, gaming, cylindrical and packed batteries. While we like be fully transparent about all of the details of these negotiations and agreements that may not be possible in some cases, some licensees may demand complete anonymity as a condition of the agreement, while other licensees may be less stringent. Regardless of our obligation to confidentiality and, however, once products are leased with WattUp technology embedded, the market will know it. For example, the recent details shared by components and technologies in the leading smartphone and wearable devices that have been - that have had breakdown analysis done on them, basically shared with the market, the components that were made available into those devices. We see similar information becoming available as WattUp technologies get deployed into the marketplace. In line with our goal to help partners shorten their development cycles and complete products with excellent functionality. We’re on track to deliver solutions to support customer evaluation of the technology in the early second-half of 2015. We are initially targeting low-power transmitter and receiver references on it, followed by solutions for higher power transmitters and receivers in the first-half of 2016. As we’ve previously discussed, each of our customers will be responsible for their own FCC approval of their products. Our collaboration with them has met and short the time - shorten the time to the approval process. We believe that the company’s collaborations with these partners will result in more predictable regulatory process and one in which future customers can leverage and capitalize on it. An area that comes up frequently is the competitive landscape. Based on the information we’ve received from our partners and the general market knowledge, we believe Energous has a significant lead over the competitors who play in the uncoupled space. This lead comes from our development progress on both, hardware and software, as well as our business development and regulatory effort. All of this collectible create meaningful barriers to entry. One final item I would like to cover is an update on our intellectual property, which creates a key competitive advantage, is one of our key asset. We continue to build and refine our patent portfolio and IP strategy during the first quarter of this year. Including more filings in the key areas of directed power transmission, energy housing, and network management, we continue to receive numerous payroll at USPTO office action with regard to our original filings and are beginning to nationalize our intellectual property in line with our strategic business opportunities. Our portfolio continues to grow and currently we have over €125 US patent applications and foreign equivalent. Now, I’d like to turn our - turn the call over to our interim CFO, Howard Yeaton to provide some additional details on the financial results for the recently completed quarter. Howard?
Howard Yeaton: Thank you, George. As you saw at the close of the market today, we issued a press release announcing our operating and financial results for the first quarter ended March 31, 2015. We achieved our first revenue in quarter one of 2015 in the amount of $200,000, in addition to ending the quarter with $300,000 in deferred revenue. Our expenses were $7.1 million and we generated a net loss for the first quarter of 2015 of $6.9 million. Adjusted EBITDA was $5.1 million negative in the first quarter of 2015, which excludes approximately $200,000 depreciation and amortization and $1.7 million in stock-based compensation. We believe adjusted EBITDA provides useful information to investors by providing a more focused measure of operating results. During the first quarter, over $4 million of our expenses, including approximately $1 million in stock-based compensation expenses were related to research and development. As Steve mentioned, we are working diligently on our operational efficiencies, including a focus on eliminating costly consultants in replacing them with full-time employees. We have now spent a bulk of what was necessary to create enterprise management and control system. We plan to spend less on marketing and business development this year, as we shift resources to engineering and commercialization. In line with this, we expect CES 2016 to be much more focused and cost us considerably less than in 2015, but still serve its purpose effectively. Turning now to the balance sheet, we ended March 31, 2015 with $26.5 million in cash and cash equivalents with no debt outstanding. We intend to use our cash principally for research and development, product certifications, and sales and marketing efforts. We believe that our cash on hand will be sufficient to fund our operations into the second quarter of 2016. At Steve indicated, however, we may receive additional revenue from our Tier 1 and other potential partners that would serve to extend our ability to fund operations beyond that time. Steve, let me turn it back over to you now for closing remarks.
Stephen Rizzone: Thanks, Howard. As we previously stated, accelerating time to revenue is a primary objective for the company. Going into this year, our expectation was to generate nominal revenues by the end of the year. I’m pleased to report that we were able to substantially accelerate this goal. Going forward, we anticipate revenues increasing in calendar 2015, significantly increasing in 2016, to provide a path toward reaching cash flow break-even in 2017. As an early-stage company, we recognize the tracking, the execution progress of the company is an important validation point for our investors. This being said, here are some areas we are focused on for the balance of the year. We will continue to execute on the development elements of the agreement with our Tier 1 partner to now include transmitters. In addition, we are pleased to have them actively collaborating with us to obtain FCC and other regulatory approvals. We expect to sign additional developments and licensing agreements this year, consistent with our objectives to reach key verticals not covered by our Tier 1 partners first to market stipulations. Our engineering team will work diligently this year on completing reference designs to help expedite future customer product developments and regulatory approval. More specifically, during this quarter, we expect to complete a fully integrated 5.8 gigahertz T-cell, which incorporates our hardware, building block, and system software incorporating our second generation transmitter and receiver chips, as well as our first generation power amplifier. We will actively manage our SG&A, getting the most out of our team and ensuring the dollar spent will deliver a return to the company and extend our operational runway. We will also expect to continue to ramp revenue. Finally, as you know, we recently filed a universal shelf registration in accordance with standard business practices. Given the immense potential of our technology, it is impossible to predict what opportunities will be presented in the future. But having this shelf in place gives us flexibility to act accordingly. We are executing. We have made great progress on retiring risk, while shortening the timeline to broad scale commercial adoption. We intend to fully capitalize on this great opportunity with the end goal of having WattUp become as ubiquitous as Wi-Fi is today. I will now turn the conference over to the operator for any questions. Operator?
Operator: Thank you. [Operator Instructions] We’ll go first to David Williams from Ascendiant.
David Williams: Hi, good morning. Thanks for taking my question. I guess, my first one is on the NRE and just kind of thinking about how those layer in through the rest of the year, I know there is not a lot of information you can give us, but kind of directionally can you kind of talk about the ramp in those NREs, how those go to the rest of this year? And then secondly, it looks like the margins on those NREs are running about 100%, is that where you would expect those to continue to run as we continue to let all those NREs in?
George Holmes: Well, this is George. Let me address that and I’m going to hand it back to Steve and Howard for the comments on that question. The process by which we’re going through integration with our partners where some partners give us the opportunity to actually charge engineering services revenues, which are actually above and beyond to typical NRE payments, because we’re doing collaborative design and engineering work to help them integrate the technology into their product, not all customers will do that, some customers will have just straight NRE and some customers won’t have any at all if they want to take on the challenge completely on their own. So it’s - each agreement is different depending on the scale and scope. Clearly, when you have a Tier 1 partner that has a multifaceted product portfolio, there tends to be a broader engineering services agreement, which is what we experienced with this first agreement with our Tier 1 customer. So I hope that answers your question, but it’s - no agreement is the same, some agreements provide for broader reach, some are more dedicated on a single product and each agreement will stand on its own. Steve?
Stephen Rizzone: Thanks. Yes, also certainly since we’re delivering these services and they’re completed within the time specified, the margins on them are very, very high. I think it’s important to note that when we went into this year, our expectation was that, we generate maybe a couple of hundred thousand dollars in revenue by the end of the year, and that was really more to prove the viability of the technology. We’ve obviously accelerated that task and we will be generating significantly more revenues than we originally anticipated. We’ll be into the low-seven figures revenue range this year. We’ll be increasing that to the mid-seven’s next year and then substantially increasing it in 2017. So again we see the revenues starting to really accelerate in 2016, royalty starting to kick-in late 2016 and then going into 2017. It is a very, very efficient model. I would make one comment on that, this does not have to be a 150, 200 person company. As we complete our reference designs, our shift will be to support our additional strategic partners and then to incorporate the technology into more and more applications in verticals. And again, we can do this very, very efficiently. So we see a very good economic growth going into 2017 like I said. I hope that answers your question.
David Williams: It certainly does. Thanks for the color there. And then secondly, if I could ask maybe about the OpEx levels going forward, it looks your stock-based comp is up about nearly double, I guess this quarter. Just kind of wondering what are those levels you expect those to be and then kind of, I guess, OpEx looking - excuse me, linearly. How do you expect the trend maybe through the rest of the year, just kind of thinking about your head count expansion and your move to increase your R&D and maybe reduce some of the other expenses?
Stephen Rizzone: Well, for us it’s all about cash and management cash. As I mentioned in my remarks we were very, very focused this quarter. We had an initial budget in the $7 million range and we came over - we came in under that at $5 million. We’re doing that by aggressively moving from consultants and hiring FTEs. We’re also bringing all of the development inside the company and reducing the expenses. And so I see our cash burn ramping through the year, but not to a significant - very significant degree. And I’m very comfortable now given what we see in terms of our expenses through the year that we have sufficient cash to carry us as we said into the second quarter of 2016.
David Williams: Great. And then thinking about the Tier 1 lead then, congratulations on expanding that agreement there, but just kind of thinking about their lead and the certification costs that they already had in place, now that expand into the transmitter, what kind of visibility do you get into maybe when those products could be available to the market? You’d mentioned earlier about that you’ve given a little bit of timing, but what is your visibility like into what your OEMs are expecting to be putting out into the market?
Stephen Rizzone: Well, as you can imagine with a Tier 1 consumer electronic company with great scope, we have very, very limited visibility into their specific plan and that’s just the nature of the game. We’re working diligently with them. I think that the fact that the agreement has been expanded to include transmitters is a very significant validation of the technology. I think it further represents their commitment to drive the WattUp technology into their consumer facing products, but as far as timing and their product plans as with any Tier 1, we really have very limited visibility. We know that there is a need for it. And certainly there is an opportunity but exactly when it would be released is not something that we have visibility into.
David Williams: Great. Thanks for the information. Best of luck to you on the quarter.
Stephen Rizzone: Thank you.
Operator: We’ll go next to Bill Gibson with ROTH Capital Partners.
William Gibson: Hi, I’ve got a question regarding other top tier consumer companies. With the exclusivity of your partner, how does that effect your negotiations with them and what speed can they move? Do they have to wait until the products totally developed and then, of course, they could implement it or how do you try to move that into their product planning as quick as possible?
George Holmes: Hey, Bill, it’s George. Great question, let me see if I can tackle that and Steve can add some color if need be. As it relates to the time to market advantage, the nice thing about the way this agreement is crafted is, it isn’t an exclusivity. We do have the ability to engage actively other Tier 1 partners. We are very focused in those engagements to ensure that we don’t get out over our skis as it were to kind of rub up against this time to market advantage we have. But we do have the ability to engage. There are specific areas that we’re even more focused on, which we talked about. And the ability to engage other Tier 1 partners or even large Tier 2s is really not hindered by the agreement that we have this in place.
Stephen Rizzone: Yes, I mean - the couple of points. The first-to-market advantage is just that, as soon as our Tier 1 consumer electronics company releases their first product into the marketplace, all of the first-to-market advantage dissipate. And while this covers the areas that we discuss. We are free to engage with others Tier 2 partners in areas that are not covered. As an example, there are no stipulations for televisions. There is an area where we would certainly look to engage with a strategic partner that maybe competitors in one arena, but there’s no overlap into the areas that are not covered by the first-to-market advantage. So I think it’s a very good agreement and the good thing about one of the good things. There are many things, but one of the good things about this technology is that there are so many markets that we can penetrate. There are so many opportunities that require this technology. That our plan, as George said, is really to pick and choose the best opportunities that get us into markets, that get us into a vertical as quickly as possible. One other final point here and I just want to make sure that we emphasize it. There is no first-to-market advantage for the transmitters. And this is a very, very, very key point. I think the big failure of the first generation technologies, the Mac technologies, is there were so few takes on the transmitter side and that really constrained the growth of that technology. Our focus is to balance that and to release the WattUp technology in a more systematic approach where you’ve got transmitters and receivers, and ecosystem is built out across a broad range of transmitters. So we are very, very focused on transmitters and the proliferation of transmitters, especially in the areas of combining a wire-free power routers and Wi-Fi routers and also providing other types of transmitters like in the doors of a refrigerator, in the bezels of television, in a bedside unit, any number of applications. So again this is a great agreement for the company and it really I think if we execute on it is going to drive the broad adoption of the WattUp technology.
William Gibson: Good, thank you. And then one little follow-up question, I assume on the revenue guidance that assumes you’re reaching your invention and technology milestone to year and getting payment for that?
Stephen Rizzone: Absolutely, again we have to caution that there are very significant milestones that require both the level of development and advanced development. And in order for our revenues to be realized, we will have to achieve those milestones, and so there is an element of risk there, but we continue to diligently move forward and that is how we seeing it play out currently in terms of our visibility to revenues.
William Gibson: Good. Thank you.
Operator: We’ll go next to Louis Basenese from Disruptive Tech Research.
Louis Basenese: Congrats, on the quarter guys. Just a couple of quick questions for you. Expanding the Tier 1 relationships to include the transdiode [ph], did that include any additional invention and development milestone payments or the potential for them?
George Holmes: The potential for them, yes.
Louis Basenese: Okay. So and then also you talked about other pipeline partners in verticals that wouldn’t necessarily be in smartphones and accessories. Can you give us any color on what you think might be upfront payments from them, I mean, is it reasonable to expect it to be in line with the first $500,000 payment that you received or would it be less than that or just any color on that?
George Holmes: Really at this point, we really don’t have a lot of visibility that we can share in that front. Each of these agreements will be completely different to the level of the work that we’re going to have to provide. As I described earlier, I mean, when you have a company that has a multifaceted product portfolio that puts hundreds of millions of units into the market. Their application sense and depth that their agreement is going to be a little bit different than even the largest Wi-Fi router companies that are just - that market is only a couple of hundred million units in total. So, it just depends on the range and the scope of the opportunity and kind of what we’re taking, how much of the engineering effort we’re taking on. But, as Steve described, we believe the engineering services component of our business is going to be a good one, as people look to integrate this technology and integrate it quickly.
Stephen Rizzone: A couple points on that. Hi, Lou, this is Steve. A couple other points also, I think that from a strategy standpoint, it’s important to note that we want to be licensee friendly. We want to develop reference designs that have broad applicability. We don’t want to get into a situation, where we have custom one-off or one-off for each of our strategic partners, although we will engage in services and certainly we will modify as necessary given the opportunity. We’re looking for a broad base adoption here. And so we want to be friendly to licensees. I don’t think that that will - the vast majority of our agreements will have significant upfront payments. We’ll be more focused on performance and receiving royalties once the technology is incorporated into the consumer facing devices and those devices hit the market.
Louis Basenese: Yes, it makes sense. Thanks. One last question, and I think in the last call, you talked about having about a two-year head start on other technologies that are in this space. And for whatever reason it seems like a lot of other technologies are getting crac [ph] and I know that crac doesn’t translate into their development progress. Can you just give us some color on why you think you have that - significant of a time-to-market advantage as other solutions that are out there, whether it’s on the tech side, on the business development side, can you just kind of articulate what that is, so there’s a clear understanding?
George Holmes: Well, I can to speak to it from my perspective. And as I look at this and we spent a lot of time out in the marketplace talking to customers. And the things that we see at our customers is not other uncoupled solutions, it’s really they’re looking at a loosely coupled versus uncoupled and looking at the application space. So when it comes to loosely coupled, clearly the WiTricity, they put WP solutions there as we said historically, there is a great segmentation to market between portable and mobile, where those devices make a lot of sense. And then when they are talking about a fully uncoupled solution, usually you get, you spend a lot of time trying to justify your technology versus something else if there is something that is close. We just don’t see those competitors in the marketplace. Now that doesn’t see. I think the thing that keeps me up at night is that they’re going to show up some day one of our big customers. It just hasn’t happened yet. And when we did see them, which literally is before they got all the press, when we did see them their technologies were dismissed for the most part, because they didn’t make the fundamental application requirement. So, I think there’s a - clearly we’ve got to keep an eye on the ball. Clearly, there are some companies out there getting some very good press. We think it’s good for the category, it’s good for the awareness. It will be good for the consumer in the end. For us we are heads down getting products developed and engaging with what I think are some of the best OEMs, and if we could be engaged with, and we just don’t see it yet.
Stephen Rizzone: Yes, I think, a couple of points here also. We understand very, very clearly what the steps are to adoption. And we’ve been working diligently in the last 18 months, and I think made rapid, rapid progress. And so, we understand all of the complexities to take any of these technologies, or any of these applications to the level, where they are viable for a commercialization. And, again, we understand given this understanding, we’re quite comfortable that we have a first to market lead here. Having said this, these are huge, huge markets. If you take a look at the total TAM, it’s - it relates to trillions of dollars. And so there is room for multiple players and in the business, and again, we’ll just look to aggressively keep our head down and move forward along the path that we’ve taken to concentrate on the verticals that we’re focused on, to maintain our focused on 10 watts or less with a level of mobility, to increase the synergy with the tightly coupled and loosely coupled. Again, with our work in PMA, we see a natural bifurcation of the market and think that there’s a great deal of synergy between as George said the portable and the mobile elements of the market. And so, again, we’re very confident. We execute and we’re going to have a meaningful market share of the opportunity and a very, very significant business.
Louis Basenese: Thanks, guys. Best of luck.
George Holmes: Thanks, Lou.
Operator: [Operator Instructions] We’ll go next to Jay Srivatsa from Chardan Capital Markets.
Jay Srivatsa: Yes. Thanks for taking my question. Steve, as you work with your partners with your first generation of silicon, what is then the feedback is? Are there areas for improvement that might cause you to re-spend your silicon, or is there feedback which you’ve got, that helps with you, helps for your next generation of product, help us understand what the weather feedback has been thus far from all the partners you’ve been talking to?
Stephen Rizzone: Well, I think the - there’s a - this is a process and evolution. I think our first generation was really more to take all of the discrete components and approve that we can integrate them into silicon. As we go through second subsequent generations, we’re talking about improving efficiencies. We’re talking about miniaturization. We’re talking about cost reductions, and so this is a natural process. I think that our third generation of transmitters and receiver chips will be those that will end up into the consumer markets. And so we have one more generation that we’ve already begun work on, that incorporates all of the knowledge and experience that we’ve had to-date. And we believe, as I said, the third generation is the one that will go into consumer facing devices.
George Holmes: Let me add just one little note there is, if you look at our silicon roadmap, the indication from the question sounded like, are we seeing things when we deliver those solutions to the customer that they’re asking us to change. That’s not the case. What we’re doing is, we’re validating the roadmap that we’ve provided them at the beginning. It said Gen 1, Gen 2 Gen 3 chip. And what we’re using those chips when we deliver them to customers allow them to evaluate them is evaluate when we met the milestone. So it’s not that we’re giving technology to our partners, and they’re going, hey, it’s just not quite right, could you tweak it here, could you tweak it there; that’s not the position we’re in. We’re showing direct validation of the technology and directly showing that they were meeting those milestones on a silicon drop to silicon drop perspective. So it’s a very problematic thing, it’s one that’s very, very well received by our customers, but it’s all things that drive to expansion of agreements, additional opportunities in different products as we continue to validate these things. I hope that helps?
Jay Srivatsa: Yes, as a follow-on to that, as you look at your next generations of product, is the emphasis on adding more features into that ship, or is there emphasis on cost reduction through - going through smaller process geometries and stuff like that. Where - what type of emphasis are you placing in the next future roadmap?
George Holmes: Well, I think, is all of the above frankly, because as you look at things that we’re on our roadmap, the tickets into this next generation of silicon, it included a much more efficient power amplifier chip, a much more efficient receiver chip, greater efficiencies from an integration between amplifier and transmit chip. Those integrations, which ultimately lend themselves to cost reductions, you get - you kind of get a two-fold, you get a cost reduction, you get a performance enhancement, all driven based on what the roadmap has dictated. And the good news is currently we are achieving those milestones and we get continued validation as we get new chips in and we literally just brought new chips and are bring them up. And it was great validation of the good work that our design team has done.
Stephen Rizzone: I think also it is important to note that as we engage with these strategic partners, one area that we are gaining a great deal of understanding is the element of miniaturization and just how much room we have in these respective devices. I think that’s a key component here and we feel comfortable that our cycle, and the third-generation chips that we’re developing, will meet the miniaturization requirements for broad adoption of the technology in both transmitters and receivers.
Jay Srivatsa: All right. Maybe one last question, just in terms of the business model, obviously currently you’re a silicon provider, you talked about getting into the licensing model. Are there customers who you’ve been talking to who say, would just prefer for you guys to supply the silicon to us versus licensing the IP and getting somebody else to manufacture it for them. And what’s and how is that going to drive your future strategy in terms of what type of business model you’re going to pursue?
George Holmes: Well, if you recall, we’ve announced two major silicon partners as well. And that’s to address companies like the one you just described. I mean it gives us a couple of levels of efficiency from a sales perspective. We get hundreds of sales guys on the street selling our technology and the multitude of different applications, not only ones that were originally driven and determined that needed wireless power, that you end up in a variety of different applications just because you are now the silicon provider that looks at things much more broadly. But clearly we have customers that we’ll be partnering with, silicon manufactures that we’ve already partnered with. We have customers that will be integrating the IP directly. And then we have customers that are going to do some combination of both depending on how broad their portfolio is. If you’re going into a dedicated - a company this is kind of one product company, they would probably go down the path of working with one of our silicon partners to integrate the technology from and through them. Whereas, if you’re dealing with a large Tier 1 that’s got a multifaceted product portfolio, they look at integrations far differently than we do because they have a much broader product set, and they have much greater supply chain, and they can ask foundries to do specific work for them and integrate with other IC manufactured devices that they have licensed their technology and come up with a superchip as it were, that does what they need from a file perspective. So there’s a lot of different opportunities here from an integration standpoint, all on the roadmap of our go-to-market model that provides for early silicon all the way through licensing whether it would be to an OEM, ODM, or to a silicon manufacturer.
Jay Srivatsa: Thank you. Good luck.
Operator: And we’ll take our last question from [Dallas Salazar of Atlas Consulting] [ph].
Unidentified Analyst: Hey, guys. Thanks for hanging on. Just this last question here, I guess, I’m more interested in the regulator process partner and just sort of how if at all that changes timelines, resources tethered to the process, the go-to-market strategy, for instance, if the partner wanted to start from the outside and try and get some international regulatory process ahead away before coming domestic. Anything along those lines that you guys can elaborate on.
George Holmes: Well, just from a 30,000 foot level and you know everything that we do on the regulatory front is kind of part of our secret-sauce competitive advantage that we try to deliver to our partners so they can get through the process. The things that we’ve done with our Tier 1 partner that were engaged with now, the work that we do together is really to ensure that their roadmap gets products into the market quickly and efficiently. That has been our overall overarching goal. Now the advantage we have instead of it being an anchor point based on a regulatory approval on - under our name, it will be the first regulatory approval will be under another partner’s name which will I think lend credibility into the marketplace driving these things through to the proper conclusion of regulatory approval in the different areas that it’s required.
Unidentified Analyst: All right. Thank you.
George Holmes: Yes, did that answer your question, Dallas, or is that…?
Unidentified Analyst: Yes. No, I mean, it did. I know at CES we had some of those international players there and so I just - I’m kind of trying to independently kind of sort of think about - and the list isn’t that longer, guys, that this could potentially be. And I’m just sort of sorting out international revenues for the other guys and sort of where they’re going. So it’s, I guess, less for you guys, I was just seeing if I can get any type of additional color on that. But you guys - I’m looking to forward to it and I wish you guys good luck. So thank you for answering that.
George Holmes: And no worries, Dallas, I mean, it’s one of our key strategic advantages the fact that we have great knowledge base in this area. And now you coupled that with Tier 1 partners, whether they’d be our first Tier 1 partner or others. It really just kind of - everything builds on itself. And we have a real opportunity do some very exciting things here from a regulatory perspective that we think will put us way out in front of everyone else. So when we make the decisions that we do it’s in large part still focused on our fundamental underlying message and theme, which was, anything that we do as it relates to getting products developed, getting regulatory approvals is to shorten the time to revenue for our OEM and ODM partners. And we believe that our current strategy has the greatest chances of success to mitigate the issues that you might find going through the regulatory process, because now we’re partnered with somebody that does hundreds of regulatory approvals a year and this is just one of them and really provides a lot of overall end-to-end credibility we believe.
Stephen Rizzone: Yes, it’s a bit of a catch-22. We understand clearly that regulatory is a major milestone and of very significant interest to our investors. Unfortunately, we can’t add a lot of color to it, because it is a very proprietary, it’s a clear advantage for us. I think one thing to note is that we’ve been working together with this Tier 1 partner actively and aggressively for the last three months, and we’ve been engaged with them since February of last year. This Tier 1 partner along with other Tier 1 partners that we’re working with, they have a very clear understanding of our technology and our past regulatory approval. And I think the fact that the agreement is expanded is a very, very significant, although not direct, but a significant validation of the regulatory process. And the fact that we believe that the technology is safe that it will obtain regulatory approval and that ultimately it will be incorporated into a number of consumer-facing devices.
Unidentified Analyst: Now, that makes sense. Thank you guys so much. I appreciate it.
George Holmes: Thank you, Dal [ph].
Operator: At this time, I would like to turn the call back over to Mr. Rizzone for any additional or closing comments.
Stephen Rizzone: Again, we want to thank you for your continued support. As I mentioned earlier, the company is executing. We are firing on all cylinders. We are meeting our targets. We’re going to have additional progress to report in the coming quarters. We gave you some ideas as to the milestones that we’re working on in this quarter. And in our next conference call, we will report on our progress for those specific milestones, so that you can get a better perspective on our quarter-to-quarter operational performance. We continue to be very, very excited. This is a very unique opportunity and we feel very, very fortunate that we have the opportunity to be part of it. We believe that we can truly change the way the consumer charges their devices and that we are effectively on the path to make that happen. So thank you very much, and we look forward to talking to you again in another three months.
Operator: That does conclude today’s conference. We thank you for your participation.